Operator: Good morning, ladies and gentlemen, and thank you for standing by for Baozun's First Quarter 2023 Earnings Conference Call. Agenda; there will be a question-and-answer session. As a reminder, today's conference is being recorded. I would now like to turn the meeting over to your host for today's call, Ms. Wendy Sun, Senior Director of Corporate Development and Investor Relations of Basin. Please proceed, Wendy.
Wendy Sun: Thank you, operator. Hello, everyone, and thank you for joining us today. Our first quarter 2023 earnings release was distributed earlier and is available on our IR website at ir.baozun.com as well as on global newswire services. They have also posted a powerful presentation that accompanies our comments to the same IR website where they are available for download. On the call today from Baozun, we have Mr. Vin Sancho, Chairman and Chief Executive Officer; Mr. Arthur Yu, Chief Financial Officer and President of Baozun Ecommerce; and Ms. Sanjay Zebit, President of Fosbrand Management. Ms. Qiu will review the business strategy and company highlights followed by Ms. Bo, who will discuss the business development of house e-commerce and above our financial outlook. Then by Mr. elipto share more about Baozun brand management. They will all be available to answer your questions during the Q&A session that follows. Before we begin, I would like to remind you that this conference call contains forward-looking statements within the meaning of the Securities Exchange Act of 1934 and the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are based upon management's current expectations and current market and operating conditions and relate to events that involve known or unknown risks, uncertainties and other factors, all of which are difficult to predict and many of which are beyond the company's control, which may cause the company's actual results to differ materially from those in the forward-looking statements. Further information regarding these and other risks, uncertainties or factors is included in the company's filings with the U.S. SEC and announcement on the website of Hong Kong Stock Exchange. The company does not undertake any obligation to update any forward-looking statements, except as required and applicable law. Shamali, please note that unless otherwise stated, all figures mentioned during this conference call are in RMB. It is now my pleasure to introduce our Chairman and Chief Executive Officer, Mr. Vincent Qiu. Mr. Qiu, please.
Vincent Qiu: Thank you, Wendy. Hello, everyone, and thank you all for your time. I'm excited about the transformation road map. We have lined up for the next 3 years. All illustrates a line number 2. The expansion of Boson Group into 3 divisions, EEC, PBM and BCI is aimed at creating a virtuous ecosystem in which each division brings value to the others. For instance, BEC brings cutting-edge value-added services such as DM logistics and IT to BBM. While BBM enables BEC to have a deeper understanding of client needs, leading to continuously improved technologies and operations. Meanwhile, DZI facilitates BEC and DBM in the geographic expansion of brands. The 3 divisions complement and the support work another in a healthy ecosystem to provide the most comprehensive one-stop services for our clients. I allow to emphasize the technology is a cornerstone of our business transformation and success. In the past 15 years, we have leveraged our technology to innovate and build up a portfolio of integrated omnichannel fulfillment platforms. Our technology infrastructure enables our clients to unify the online and off-line channels and conduct their business anytime, anywhere at or any marketplaces. In recent quarters, regional service centers of BEC, supported by our customer service management system and efficiently expanded to more cities and afforesly added a wide range of services. RSDs have improved full service quality and cost efficiency for BEC. This is just one example of how technology empowers our business as we now embark on the second growth curve. Our advances in technology and digitalization form a strong foundation to empower the next generation of retail. Consumers not prefer brands that are modified to Chinese consumers' preferences and community styles by closely monitoring trends and offering tailor-made updates and iterations, we aim to enable new retail experiences and supply chains that are more responsive to local needs. This employment applies to all 3 divisions. DBM is off to a great start. Since February 1, we began consolidating Gap China and the initial progress is quite encouraging. In the first quarter, Gap China generated CNY 189 million in revenue and significantly narrowed its operating losses. Sandra will provide further details about BBM and the gap later. We fully believe that the BBM is a game changer. Bs is also beginning to take shape. In February, we acquired a minority interest along with the board seat in brand lifestyle Asia Limited, a leading premium fashion retailer with a strong brand portfolio that includes Blue dog and the routes. Ansin phone Group is parent company, Avgol set up a strategic technology committee to develop an enterprise-wide technology strategy and lead the digital transformation. We have already taken an exciting first step with the launch of an online store, little ground Singapore . We are also in the process of working with brand lifestyle for similar solutions elsewhere in Asia. This is an important first step for bringing our battle-tested technology to the global market. Our technology is an important piece of the foundation we are putting in place to build up our presence in the growing e-commerce market in SEA. Overall each of our 3 business lines is making solid progress, and we are confident in our business transition. My priorities for the next 3 years will be maintaining an appropriate organizational and incentive structure and focusing on our technology funds culture. I will also take the tiny of endetection journey for BCI. Ultimately, our priority at Borden is to achieve customer-centric, high-quality and stable business growth. Let me now pass the call over to Arthur for an upgrade update on BEC and review of our financials.
Arthur Yu: Okay. Thank you, Vincent, and hello, everyone. Let me do a quick review of the financials of the first quarter of 2023. After which, I will discuss our BEC business highlights in more detail. Benefiting from our continuous cost optimization in recent quarters, we were able to achieve better year-over-year profit and cash flows in the first quarter of 2023 as highlighted on Slide number 3. During the quarter, our night revenues declined by 5% to CNY 1.9 billion, of which product sales declined by 2%, and service revenue decreased by 6% compared to the same period last year. Please turn to Slide number 4. I -- for BEC, revenue for the quarter was still soft due to weakness in consumer confidence in China. The 3 years of pandemic hardship has caused consumers to be more cautious in increasing their spending, and it will take both time and consistent efforts of micro policies to be implemented, the other results of full spending recovery. We continue to prioritize value-added service in digital marketing and IT services while reducing low-quality product sales. Total product sales of BEC declined by 30% during the quarter, reflecting weaker consumption in the appliance category and our commitment to reduce sales of low-profit categories. Luxury continues to deliver double-digit growth, and sportswear sustained a positive year-over-year growth trends. Value-added service continued to show strong resilience with total revenue from logistics, IT and digital marketing achieved year-over-year growth on a like-to-like basis. For BBM, total product sales revenue in the first quarter was $189 million, which is in line with our plan before acquisition. Given that the GES acquisition was completed in February, the consolidated product sales of DDM for the first quarter only consisted of February and March. Now, turning to Slide number 5. In this quarter, our cost of products decreased by 15% to CNY 505 million, mainly due to lower product sales of BEC, partially offset by incremental cost of $82.8 million from GAAP. For GAAP, specifically, its gross margin reached a new record of approximately 55%, representing over 1,000 basis point improvement from a year ago on a comparable basis. Overall, at the group level, our gross margin improved by 320 basis points to 73.2% due to the acquisition of GAAP Greater China. Our non-GAAP loss from operations was $10 million during the quarter. At this time, we are not fully prepared to report separate cost for BBM, and we plan to do so soon in the following quarters once we completed the integration. However, to provide a clearer view of the business trends for each segment, we would like to provide some directions for the profitability of BEC and BBM based on our internal management accounts. During the quarter, CEC's non-GAAP operating income delivered triple-digit growth, reflecting our high-quality growth strategy and effective cost optimization. The cost optimization efforts included ramping up regional service centers, reengineering process, improving working capital efficiency and reforming compensation policies. In BBM, we have reduced its operating loss by more than half year-over-year on a comparable basis. Overall, our non-GAAP operating margin was negative 0.5%. Our non-GAAP net loss was $7 million this quarter, a slight reduction compared with the same period of last year due to unexpected losses from GAP Greater China. Turn to Slide number 6 about our cash and cash flow status. As of March 31, 2023 our cash, cash equivalents, restricted cash and short-term investments totaled $2.9 billion. We continued to upgrade our back office processes to improve working capital and inventory management. As a result, our total operating cash outflow in this quarter were $207 million, which is an improvement of CNY 338 million from the same period last year. Now let me provide some insights into our BEC business performance. This quarter, we continue to make progress in our omnichannel initiatives with 44% of our brands engaging with us on at least 2 channels. Our GMV from WeChat and JD both achieved high double-digit growth. Moreover, we established a strategic partnership with Little Red Book, Xiaohongshu, which will allow us to acquire incremental traffic and attract new consumers in a more cost-effective way for our brand partners. Value-added services are crucial in enhancing the user experience and creating value for brand partners. We have implemented new service offerings, such as digitalization upgrade, data security enhancement, omnichannel data intelligence and AI forward customer services. These services enable us to meet the changing needs and expectations of customers, providing a more personalized and seamless experience across all channels. We are also focusing on developing system enhancements and process reengineering by utilizing the latest AI tools to drive efficiency improvements. Our new business development for 2023 is off to a good start. Year-to-date, we have established a IOC pipeline with notable wins in the luxury auto and FMCG sectors this quarter. This strong pipeline also provides us with greater flexibility in optimizing our resources allocation. In addition, we continue to focus on improving our key account management through MPS initiative partners with Nielsen, which will improve our service quality in a sustainable way going forward. We also saw an opportunity to grow beyond our traditional areas of strength to capture the growth area of content-driven live streaming e-commerce. In this quarter, we established a new business unit called creative content to commerce to prioritize content-driven e-commerce initiatives. This new business unit is a combination of creative marketing, video content and live streaming units within Bolton. Currently, we are also building our grand live streaming studio with a total area of 4,500 square meters in our Shanghai headquarters. And we target to officially launch this studio as June during our 61 promotion period. Now, let me turn the call over to Sandra to talk about DBM.
Sandrine Zerbib: Thank you, Vincent, and Arthur, and thank you all for joining us today. It is my great pleasure to speak with you. Please follow us to Slide number 7. I -- as a holistic and well-rounded partner for global brands, BBM aims to unlock their business potential in China by utilizing our technologies and insights to deliver the best seamless omnichannel experience. We integrate the digital and physical at scale and we bridge demand and supply with fast supply chain adjustments through our digital intelligence. Our focus is on growing a portfolio of mid-end and premium consumer lifestyle brands under DBM. We've been very selective in narrowing down to a possible few lifestyle brands, limiting ourselves to only 1 or 2 additional brands in 2023. Obviously, our focus this year is on GAAP. Please turn to Slide number 8. I -- in 2023, we are prioritizing the post-acquisition transition of Gap China, refining product and merchandising strategies, building supply chain infrastructures, enhancing back-end systems and developing the right talent pool. First of all, we are committed to accelerating our transformation from a discount-driven approach to one that focuses on building consumer desire for our brand and products. While this initiative may have some negative impact on price-sensitive customers in the short term, we believe it is necessary for the brand's long-term positioning. Another priority is our China Fit China product and communication. It is critical for us to interpret the DNA of the Gap brand in a way relevant to China rather than simply copying and replicating gap globally. We've put together a design team with a new director. We base our designs on more data insights and execute with a much shorter supply chain cycle. The results will start showing in fall and will be fully released in late winter. This will give us the first meaningful and measurable product impact. In terms of communication, we've started with upgrading our store design, and we're working hand-in-hand with GAAP to create a new store, along with a new approach to visual merchandising. In addition, we are upgrading the supply chain to react quickly to new data and consumer demands. We have identified close to 30 new local manufacturers to fully meet our projected production needs. And except for global IP styles, we aim for 100% local production. We will continue to seek more factories with fast replenishment capability while ensuring the same quality and lower prices compared to GAAP global sourcing. Now in addition, we've taken a series of quick actions on store efficiency, including changing existing store visual with a focus on mix and match storytelling, strictly controlling discounts and enhancing sales adviser training. Thanks to these actions, our blended gross margin reached approximately 55%, an improvement of over 1,000 basis points from a year ago. This is, in our view, a major achievement as gross margin increase is key to GAAP China's success. Overall, we generated total revenue of $189 million, a decrease of 30% year-on-year on a comparable basis. And there are actually 2 factors that impacted this comparison. First factor is the timing of Chinese New Year, which is normally a peak season for retail. Chinese New Year was in February last year, but in January this year. And the second factor is a different starting points of off-line. 86 stores were closed before we took over, which is equivalent to a decline of 40% year-over-year. Therefore, despite our strong comp store growth, our overall sales decreased. For the remainder of 2023, our overall operating strategy remains unchanged, focused on products and margins, uplift brand image, product and consumer integrated marketing, fast-response supply chain and enhanced omnichannel digitalization and customer experience. With these objectives in mind, we have set our store opening plans according to our product cycle. We plan to open about 10 new stores in first-tier cities covering flagship adult stores and kids and baby store format with an upgraded store concept and customer experience by the end of 2023. Lastly, organizational competency and IT transformation are the 2 foundations that will enable our strategy. We've taken quick actions to build up the talent pool for GAAP and future BBM operations. Over the past 60 days, we were able to quickly identify and hire critical positions, included, but not limited to, Head of Design and dedicated kids and baby designer lead, Head of Supply Chain, new CHRO and new CFO. All of our new hires are local industry experts with vast experience in both well-known leading MNCs and local apparel companies. We have also significantly reduced cost in logistics, marketing and store maintenance. We believe this will accelerate our business transformation and organizational efficiency. Now regarding IT transformation, we are making solid progress in transforming the former Gap China siloed inefficient and outdated system into a fully integrated, flexible and modern architecture. With the help of Baozun technology, we have already completed the overall design for the integrated system transformation of Gap China. And we aim to have the new systems in place by Q4 2023. This system transformation will improve our business operation capability and efficiency across multiple areas, including merchandising, planning, operations, design, production, fast and responsive supply chain. -- omnichannel inventory management, retail experience enhancements and business intelligence analytics. All of these improvements will be powered by optimized business processes and rules from market-leading practices. Overall, although there remains quite some way to go in our transformation, we have established a good first step for BBM and we are firmly determined to accelerate the necessary changes in our first year to set up a solid foundation for our future growth. With all this being said, I shall now hand over the call back to Arthur. Thank you.
Arthur Yu: Okay. Thank you, Sandra. In summary, we are excited about our transformation road map, which focuses on becoming a technology-driven omnichannel commerce player. With BEC, we will continue execution of our customer first, high-quality growth strategy and the early progress in BBM reflects our team's high-quality execution and agility. We have also taken first steps in BCI, which validates a natural opportunity for us to replicate our China e-commerce success overseas. That concludes our prepared remarks. Thank you, operator. We are now ready to begin the Q&A session.
Operator:  We're now going to proceed with our first question. And the questions come from Alicia Yap from Citi.
Alicia Yap: Management, I have 2 quick ones. One is that can management share with us how are you seeing the consumption demand in April and May? And any qualitative expectation on the upcoming June '18 events? And then what have been the brands merchants attitude so far towards the June '18 promotion? And then second is that if management can elaborate your near-term priorities? And would you also plan to explore more acquisitions and investment in other brands if opportunity occurs?
Arthur Yu: Okay. Thank you, Alicia. I will take the first question about the and maybe Sandro can add a little bit more on the investment of the BBM. First of all, in terms of April and May, we definitely see an improving trend year-over-year. As I mentioned, the luxury, the sports and apparel starts to show the signs of recovery. And for us, our Gap brand has also shown a steady recovery and a positive trend in terms of April and May. In terms of the 18, I would say, for the upcoming 618, it is probably one of the most prepared 618 from the platform and from the brand. because this is the first 618 promotion after 3 years covidpandemic and both the platform and brands put a lot of effort into it. From a platform point of view, Tmall, JD, Don, they all launched new initiatives to attract customers and to incentivize the brands to use the platform. And from a brand point of view, they will start to -- they'll start very early to prepare the merchandising and also the new initiative, how can they attract a new customer. And both in the process to help them during the last 2, 3 weeks to launch those plans. And we have seen some good early signs in terms of our plan starts to make some impact in terms of the upcoming 618. So the ITT is positive, but there are still uncertainty in terms of how strong the customer confidence is because the overall macro environment is still not recovered to our expectation. So we would say it's cautiously positive at this moment. In terms of the near-term management priority, I think as Winston has laid out. So in this year, we have put our Bolton group into BC, BDM and BCI, the 3 business units. And myself, and Sandra and Vincent himself will each take the role in terms of driving the strategy for each of the business units with our own priority and our own plan. And now we are focused on execution to make sure we actually deliver our plan to achieve the overall group plan for this year. On the investment, maybe Sandra, you add of yourself?
Sandrine Zerbib: Yes. Just a few words to say that, obviously, in the mid- to long term, we want to grow a portfolio of mid-end and premium consumer lifestyle brands under DBM. And therefore, we have actually looked at many brands in order to be able to be extremely selective and to really narrow down to very few potential candidates for this portfolio, particularly for this year, we want to really limit ourselves to one Maxmax, 2 new brands for the portfolio because this year, obviously, our focus is on GAAP. And our total priority is a smooth post-acquisition transition of Gap China.
Arthur Yu: Yes. And on that one, we also have an internal process to evaluate each of the opportunities with a lot of care and a lot of the decile the details. So we will only do the acquisition on the good opportunity here.
Operator: We are now going to proceed with our next question. And the questions come from the line of Colin  from Citi.  And the questions come from the line of Thomas Strong  from Jefferies.
Unidentified Analyst: My first question is a follow-up on the 618 campaign. So as we see more -- the online shopping market is undergoing a more competition. So how should we think about the impact for us? And my second question is that as you've seen the consumer sentiment is gradually recovering. So how should we think about the second half performance for the discretionary life apparel, cosmetic durables like electronics and as well as the luxury category? Should we see a pickup in the second half?
Arthur Yu: Okay. I think the competition of the platform is actually a good news for Borgen because through the competition, the platform becomes a commodity in some way. So at this moment, a lot of features, which is available to Tmall will become available to go in and something on is good at Tmall is trying to replicate. So in that way, the platform is becoming a marketplace and the brand is doing the business through those marketplace with the need to differentiate themselves by the brand themselves. So that they need Boden who understand the different characters of the platform. And also we can help the brand to define a strategy specific for them to be successful in an amini-channel environment. So that's the strategy Baojun has laid out a number of years ago to pursue the omnichannel strategy. So our backcounsystem can support us to manage the different channels. And the knowledge we accumulated in terms of how to operate in each channel will play a big growth in highpin brands going forward. So that's number one. And number two, I think what the platform becomes a commodity in some way. The value-added service offered from Bolton become very unique to support the brand. So for example, digital marketing, logistics and warehouse they all improve the brand capability to serve the customer better through the upgrading of the capability. So in recent quarters, we have seen the value-added service start to see a big pipeline, and we are confident that will help us to drive the revenue growth into the future. Yes. Your second question in terms of the customer sentiment, as I mentioned, it's definitely gradually recovered and for the apparel and for the cosmetic to some extent. But durables like the electronics and the other categories, I think we probably need to wait and see -- and I would say 618 is a good place to test how much the consumer confidence will come back. And what the spending kind of pattern will be looked like for the whole year...
Operator:  The next questions come from the line of Colin Chan  from Citi.
Unidentified Analyst: Evening management. Can you hear me?
Arthur Yu: Yes, Colin . I call...
Unidentified Analyst: Okay. I'm calling from Citi Securities. I have 2 questions. The first is that I noticed that in Q1, the non-Tamil GMV share rise to 49% with a significant increase year-over-year and quarter-over-quarter. So I'm curious about the driver of the change and what's your expectation of the GMV distribution in different channels in the next few quarters? And a follow-up question that facing the structural changes of e-commerce channels, do you observe any changes about the standard and criteria when a brand choose to cooperate with their partners. Okay.
Arthur Yu: So Colin, the first one, I think it's very simple that it's the omnichannel strategy we have been pursuing over the last 2 to 3 years and start to show the fruit in terms of we now have a Tmall percentage become only half an nontool, -- we think this is a high foundation for us to drive the omnichannel strategy going forward. This is also what the brand is trying to pursue at this moment in time. But what I would say, the Tmall and non-Tmall is not something to say the non-Tmall growth is higher, the better. It's actually Tmall has its very unique advantage in terms of providing the certainty and providing very good quality customers from the Tmall kind of the consumer group. Our recommendation to the brand is to choose the best platform for the bit product, which are suitable for their own business model and for their own strategy. So that's the way we will help the brand to design a strategy to be successful in the new environment post the cobas in terms of e-commerce. Your second question in terms of the overall environment and also what they're looking at the e-commerce service provider. It's actually the -- a lot of the brands we're talking to recently. They put a lot of emphasis on the value-added service we can provide to the brand with the AI and also the competition, a lot of the very basic activities can be replicated very easily, either by machine or by Borden competitors. But what we have, the unique strength from Bodenes our capability to provide the insight and our kind of help to help the brands to define a strategy to be successful. So those activities is what Fortum will add a great value. And in terms of the IT solution, the digital marketing and also the logistics and the warehouse, they are also very sought after at this moment, as I mentioned earlier. So overall, I think for the -- for a service provider like Borgen, the current competition and the intensified kind of the competition from all the channels is actually a good news for us...
Unidentified Analyst: Very clear. Thank you.
Operator: We are now going to proceed with our next question. And the questions come from the line of Sophia Tan from Credit Suisse.
Sophia Tan: I have one question on behalf of Ashley. In terms of our PBM business line, it actually has been several months post our acquisition. So can you please share with us the major surprise were the challenges that we have hunter so far? And whether this will bring some challenges to changes to our previous guidance for the operating results, financial outlook or any execution timeline.
Sandrine Zerbib: Okay. Thank you, Sofia. I think the biggest surprise is actually a positive surprise, which is the fact that we were able to improve our gross margin much faster than we had expected. And this is due to the fact that, in fact, the consumers have accepted a higher price points and less discounts, much faster, particularly off-line, but much faster than we had anticipated. And this is actually a very important positive surprise for us because, obviously, it drives all the rest of the P&L. So a very positive surprise that we believe that all in all, will enable us to overachieve our year in terms of gross margin, even if, obviously, with upcoming 618 and 11/11, we will not necessarily keep exactly the same level of gross margin as we've experienced in this first quarter. So that's for the surprise. And then for the challenges, I think I see 2 challenges. The first one is obviously the speed of recovery of overall market recovery and consumer sentiment recovery because this will determine how fast we can indeed push ourselves and the recovery and the transformation of GAAP, obviously. And the other challenge is to make sure that in terms of execution, we continue to work hard to really put all the bits and pieces together because today, we had this first good surprise without having all the bits and PCS together. In fact, the new products are not yet here. The new marketing is not yet here. The new store concept that we are working on is not yet here. So you can see that we have a very ambitious plan to work on for the remainder of the year. And we need to continue to work hard to get all these bits and pieces together to really push the results to the maximum.
Sophia Tan: Thank you.
Operator:  The questions come from Larona Sophie Huang  from CMBI.
Unidentified Analyst: Okay. Just a follow-up question regarding to BB. With wondering what customer feedback have you had with your discount reduction strategy? Do you mind share us more color on this recent sales performance of online and land stores. How do you think about the consolidation impact on different channels, I mean, online off-labels?
Sandrine Zerbib: Okay. Thank you, Sophie. In fact, as I just said, we had a relatively good surprise in terms of acceptance of the reduction of discounts. -- which enabled us to improve our gross margin faster than we had anticipated. But this was actually faster off-line than online. This acceptance of reduced discounts, we expect to take a little bit more time online than offline, which is also due to the fact that we need to wait for, obviously, certain activities in marketing but also in product. As we said, we now work from products that were ordered before we took over the company. And therefore, all what we plan to do in terms of differentiating products for different channels online has not been yet implemented because we don't have the products to differentiate yet. So we think that this will be very important to accelerate this acceptance online, which has already good signs and positive signs from the off-line side of things. In terms of omnichannel management, we're still underway of putting together the new systems and the new systems will be -- that will enable really integrated online and off-line inventory management will only be available in the end in the last quarter of this year...
Operator: We have no further questions of stem. I'll now hand the call back to Wendy Sun for closing remarks. Thank you.
Wendy Sun: Thank you, operator. In closing, on behalf of the Bolton management team, I would like to thank you for your participation in today's call. If you require any further information, feel free to reach out to us. Thank you for joining us today. This concludes the call.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect your lines. Thank you.